Operator: Good day, everyone. My name is Hector, and I will be your conference operator on today's call. At this time, I would like to welcome everyone to Live Nation Entertainment's First Quarter 2021 Earnings Conference Call. Today's conference is being recorded. Following management's prepared remarks, we will open the call for Q&A. Instructions will be given at that time. Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements related to the Company's anticipated financial performance, business prospects, new developments and similar matters. Please refer to Live Nation's SEC filings, including the risk factors and cautionary statements included in the Company's most recent filings on Form 10-K, 10-Q and 8-K for a description of risks and uncertainties that could impact the actual results.
Michael Rapino: Good afternoon, and thank you for joining us. When we spoke last in February, I was optimistic that we will soon be returning to live events, and since then, our confidence has increased for our key markets. In the US, over 40% of the population received at least one vaccine dose, and most states are now fully or partially reopening with more restrictions being lifted daily. In the UK, over 50% of the population has received at least one vaccine dose and their reopening roadmap is tracking to plan. And although Europe remains a few months behind on vaccinations, they are progressing and recent discussions about reopening to international visitors this summer are encouraging. Around the world, people are showing the need to get out and socialize once again, which reinforces our expectation that a return to concerts will be the logical progression as vaccines are readily available to everyone who wants one. This is generally already in the case in the US, where we are confidently planning our reopenings, particularly front door shows, and we expect other major markets will follow this summer. Alongside these trends, we are seeing the effects of significant pent-up demand as fans are buying tickets and events are selling out faster than ever. In the US, Bonnaroo, Electric Daisy and Rolling Loud festivals all sold out in record times at full capacity. In the UK, we have 11 festivals planned this summer, including our largest ones Reading, Leeds and Parklife where tickets are already sold out. New Zealand, the country's largest festival, Rhythm and Vines quickly sold out. And as we get further clarity on reopening timelines, we are announcing more tours for late this summer, including Dave Matthews, Luke Bryan, Maroon 5 and others to come, showing artists' increasing confidence in performing this summer.
Joe Berchtold: Thanks, Michael, and good afternoon, everyone. As we have done over the past few quarters, we've added some tables at the back of our earnings release, to reconcile in more detail some of the numbers I will refer to today. For the first quarter, all the key cost and cash numbers improved relative to Q4 2020 and are at or better than what we expected at the start of the quarter. We remain confident that our actions taken to cut costs and increased liquidity will provide us with the runway we need until we bring shows back, which will begin to scale in key markets outdoor this summer. As we move toward reopening, we continue to balance strong cost and cash management. We are now making the necessary investments to grow the business. While we expect the second quarter to be our first year-on-year improvement since Q4 of 2019, and to also be generating positive AOI through the second half of the year, we still plan on reducing costs this year by $750 million and reducing cash spend by $1.5 billion, relative to pre-pandemic plans.
Michael Rapino: Before taking questions, I wanted to cover one other thing. Kathy Willard, our CFO for the past 15 years will be retiring as of June 30. She will be than staying on as an advisor throughout the end of the year. As of July 1, the plan is for Joe Berchtold to become CFO. Kathy as you know has been an invaluable part of our executive team for the past 15 years and been with Live Nation for over 20. We are a much stronger company because of her, not just from her role as CFO, but as a champion for women at the company and the industry, an important adviser to me on a range of issues. Because she built such an effective finance organization, I'm confident we will remain in good shape as Joe steps in. He and Kathy have been working together closely for over a decade now and he has gotten more deeply involved over the past year, as we have been planning this transition. In addition, late last year we elevated Jackie Beato, EVP of Operations to take on greater responsibility and give Joe the bandwidth he will need for the job. More than anything, I want to thank Kathy for her impact on the Company, her commitment and her friendship. Operator, let's open the call for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session.  Your first question comes from the line of David Karnovsky with J.P. Morgan. Please proceed with your question.
David Karnovsky: I'm going to a question.  And Kathy, if you're on the call, good luck and you'll will be missed. And I guess with regards to the summer, early fall, Michael or Joe, can you provide a sense for how much is booked at this point relative to a normal year in the US or UK? And just given the lead time, how much room do you have still kind of ramp that higher shoot conditions improve further from here?
Joe Berchtold: Yes. This is Joe. David, I'd say that the summer and early fall, next three to four months is largely booked. We obviously have a lot that is shifted from last year into this year. We've added some tours so we've also added a number of festivals, all of which have been selling well. So the typical ramp show is probably a couple of months' lead time, so I think we'll still have room to be adding more as we get into August and September, but the majority has been booked at this point.
David Karnovsky: Okay. And then, can you maybe just expand a bit on the reviews following landscape over the next 12 to 18 months given all the supply that's built on? How do you expect to kind of efficiently allocated out all the tours? Are there any capacity constraints, not necessarily in terms of venues, but just in terms of maybe like the weekend nights that are available?
Joe Berchtold: Yes. We're currently in that good position. We have lots of great conversations with probably every artist you can imagine, talking about when they're going to be back on the road. And artist typically tours once every three years on a cycle, so we're kind of condensing 2021 and '22. So the good news is we've got incredible supply and now we're just sorting through what makes sense to go out in '20 -- at the end of '21 still -- into '22, and some artists were talking about moving into '23. So I would say, the artists are patient and they're smart in terms of what their cycle is predicting, maybe they have a record coming out in the fall, maybe it's in Q1. So right now, we have a great supply. We don't have any issues in terms of availability. But we're also not looking to cram everything in three years into one year. We're looking to stage a good '22 into '23 year. So when you spread it over those two years, you find enough Fridays and enough weekends and enough routing challenges come to be solved that way.
David Karnovsky: Okay. And if I could just sneak one more in. I guess this Concerts activity is now ramping up, can you maybe just discuss a little bit about what the process has been for Live Nation? What are you finding you can do it differently versus prior to the pandemic? And maybe just what your overall confidence level is in hitting your prior target for structural cost savings? Thanks.
Joe Berchtold: Yes. We're very confident we're going to hit the structural $200 million cost savings we given you. As we've talked about, we've done it the opposite way, which is we took $950 million of cost out, and so now it's a matter of how we let $750 million of costs back in over a period of time. So that gives us -- that makes it more real if you will. We've done a number of things. On the Ticketing side, we've talked about, we've shifted that to a truly global organization as part of moving into a true single approach on the marketplace, on the enterprise and on all the technology. On the Concert side, we have a longstanding local network, which is very important to continue to understand the markets. So the 80% of your shows now booked to be tours, you don't need to have an entire infrastructure in every local market. So we've been seeing that there are ways of streamlining it and when we were growing double-digits every year through most of the last decade, it wasn't worth the potential disruption. But as we've stopped, we've asked ourselves, what's the best way to do this rebuilding from the ground up. And we're very confident, it's going to deliver those savings and be an even more effective organization for driving future growth.
David Karnovsky: Thank you.
Michael Rapino: And just to add to Joe, I think there's two ways to look at the business. We got -- we had a great workout, testing a new muscle for the last 12 months in terms of our balance sheet, our fixed costs and how we can become more efficient. And I think that you're going to see come to life through our $200 million-plus. But I think the real win of the downtime was what is the new products of the kind of Live Nation 3.0? What else are we going to do with this incredible scale we have across our consumer base? So I would say whether it's Sponsorship, Concerts or Ticketmaster, we would have a new level of new products in the pipe that we had not historically had the time, nor the skill set to kind of unlock. So I'm very confident over the next couple of years, we're going to see some exciting new things coming out of the Concert division. Our consumer side of the business -- our Subscription business, our Ticketmaster business, our new Ad business models we're looking at. So a bunch of exciting ideas now finally had months and months to put some people around and skill set that we've acquired to advance that part of our business. So, we look at the future is not only can we run the largest concert company in the world more efficiently and the best at it, but also what other new products will drive our business to think differently about the customer and the artist.
David Karnovsky: Thank you.
Operator: Your next question comes from the line of Brandon Ross with LightShed Partners. Please proceed with your question.
Brandon Ross: Hello. Just -- I guess you just mentioned Live Nation 3.0, so figured I take it web 3.0. And you earlier mentioned the digital ticket and the ability to now integrates blockchain. I was wondering if you could help us understand what the extra advantages are to utilizing the blockchain versus your current version of the digital ticket? And maybe how heavy of a lift that is for you and what tactic plan to use?
Michael Rapino: Thanks, Brandon. It's a great question. We got asked it every day and I read a new article every day on all the great things it's going to solve. So let's step back in blockchain, we think it's a very exciting technology. We're currently using blockchain technology in our products. We've invested in this business for a few years now and we think it's a great technology that will help our business. I would step back from what are the problems that we're trying to solve or what are the opportunities that blockchain specifically brings to the Ticketing business. One of the great advantages in the industry is when we went from a TDF to a digital ticket, we unlocked a lot of what you keep reading about the blockchain is going to do in the future. So the digital ticket or your mobile ticket that you are now buying has solved the biggest problem that unlocked we've been talking about this for two years Identity. Identity for us, the fan, the artist, the team and the venue knowing who sits on that seat, who is actually coming to the venue, having a communication directly with them, having a verified ticket, being able to trade that ticket, putting rules on that ticket. We currently do that now. If you want to, can you transfer it with a certain cap, all of those things that content could decide to do if they wanted to with the digital ticket. And the service fee, I read about being reduced. I mean the service fee could be reduced tomorrow. It's just a function of the venue, not the ticket company. So digital ticket and moving from the old TDF model that historically around the industry has been achieved to date, we've been talking the last couple of years about the progression of adoption. COVID obviously has really sped that up. Most tickets access now does not want to be in the contact business, so having a ticket on your mobile phone, walking into that venue and then being able to buy a drink, communicate with each other, upsell, you name the ideas when you have a direct communication with your fan, those are all being unlocked right now by sports teams, by venues and artists. So we think the blockchain technology is a great part of a technology solution to keep providing a better communication and identity platform for the fan. But that's already in place. There is nothing blockchain would bring to that that we can't or others currently achieved. So we'll continue to lose blockchain to supplement and augment our platform, and continue to look to be better at it. And we think it's a great opportunity in ticketing, just getting this full access. I would step back and Brandon, you and I've talked about this before in terms of what does the ticket company do? I mean, quite honestly, selling the ticket is the easiest part of being a ticketing company. When we talk to clients, they don't pick us because we can sell a ticket. They pick us because we have market -- marketing and distribution reach. They pick us because we have one of the largest marketplaces in the world to help them sell tickets. They pick us because we have a secured great technology platform they can plug-and-play with their APIs and their databases and their consumer needs. And they also pick us because it's a financing mechanism. A ticketing business is about financing the venues and exchanging that for ticketing rights. So it's a full bundle to be a ticketing company, and that's what Ticketmaster has delivered so successfully for so many years. And we'll continue to think lead with blockchain and bringing identity and all of the transparency and benefit but now having that ticket with an ownership to market.
Brandon Ross: And can you maybe talk a little bit about -- hello?
Michael Rapino: Yes.
Brandon Ross: Can you maybe talk a little bit about the collectibles' angle to it?
Michael Rapino: Right.
Brandon Ross: Obviously, NFTs are very popular right now. How does that integrate into your ticketing system? Or is that something that would be separate from Ticketmaster?
Michael Rapino: Right. No. That's -- and we think that's the great opportunity. NFTs are just another way of saying, can I add value to the customer relationship? Can I put a contract or privileges on that ticket for the customer? And that's a great mechanism and it's a great vehicle. I mean, whether we sell a T-shirt to that customer coming into a concert or we sell them a PDF with a unique piece of artwork or concert moment, it's another mechanism to engage your customer, find unique products that will let those magic memories of that event live on. So, macro level, we're always in the business of figuring out what else can we add to that experience that the customer would engage in to cement that magic moment called the concert. So NFTs specifically, on the Ticketmaster side, they're working already with sports teams and festivals and everyone else about how they would -- how they can layer an NFT on a ticket. You can mint a ticket and mint an NFT right on top of a Ticketmaster platform and deliver it how you want. So that's -- Ticketmaster will be in the delivery business using their ticket -- digital ticket, blockchain. And then as the customer creates its own NFT, we can sell those and bridge those together on whatever minting system and/or marketplace they use. On the Live Nation side, we're deep in exploration. We have a great team that's been working on this and working with the Mark Cubans of the world and others who are smart in this space. And I think you'll see us come out with an interesting Live Nation concert NFT angle. We think it's a great way for us to engage with our fans using that NFT and that direct relationship now to add rewards, add perks, add souvenir moments. We've all learned from top shops at the NBA, so we envision Live Nation with the marketplace and looking at some of its concert moments as magic moments that we could mint and attach to our ongoing ticket festivals and special moments. So we think it's -- if you have IP, we think it's an exciting time to use that IP to create some exciting moments with fans that can trade it ongoing and live that moment and kind of cement that relationship they have with that. July 16, the first concert back at Jones Beach, and I got an NFT and a special souvenir ticket that's mine forever. I can trade it. I can put it in my wallet and own that moment forever. So we think it's a fabulous moment to take a boring PDF and turn it into a magic souvenir with unlimited ideas on how you can bring that to life for the fan. So we think it's an exciting time. We think we'll be able to use our scalable IP to launch our own ways to engage with the fan in this space, as well as empowering our artists through our management company that we've been doing to date.
Brandon Ross: Makes sense. And then, I guess while we're on ticketing, just one last one. With the Vivid back, thought maybe it would be a good time to get some updated -- your updated thoughts on the secondary ticketing market. Do you see that as a growth market, I guess, as an industry, first of all, and then for Ticketmaster, secondly? And kind of maybe how you see the competitive landscape in that arena now?
Joe Berchtold: Yes. We absolutely believe in the secondary market. It's another set of distribution platforms of getting tickets in the hands of fans. For all the reasons Michael talked about in terms of digital ticketing and identity, we think that more and more of the control over secondary will go to content. The sports teams and the artists, as they have a wide set of agendas in terms of what they'd like to accomplish and how they'd like to have their relationship with their fans. So we think it -- we think there's some evolution as it goes to digital ticketing, and we absolutely support the content having more control over how that happens. We support there being more transparency in secondary. But we think it's here to stay, and it will continue to be an important distribution platform. We'll continue to focus on pricing to get as much of the value of those tickets in the hands of fans as we can. And I think as we look at Vivid, they've all got a similar business model, right, so all a service fee business model. They've got customer acquisition costs associated with a lot of search in digital, and we have more customer acquisition costs associated with alignment with content. But it's similar at the end of the day business model. We think we've got a great proposition by aligning with content and by also leveraging the scale of our Ticketmaster platform. So we like the position we're in, whether it grows or shrinks exactly as artists price their content to market value is less of a concern and making sure we're delivering on that content agenda.
Brandon Ross: Great. Thank you, guys.
Operator: Your next question comes from the line of Ben Swinburne with Morgan Stanley. Please proceed with your question.
Ben Swinburne: Thank you. Michael, you kind of freaked me out with that July 2021 because I have a ticket to the Black Rose at Jones Beach on that day. So maybe you're going to be there as well, probably in better seats. I guess just picking up quickly on the secondary conversation with Brandon. Any comments or reaction to the noise out of DC on safe tickets and what's going on? I thought it was -- first I thought it was sort of unusual to be bringing up and defending sort of the secondary market in that context. But I didn't know -- you know, we sort of put the consent decree behind us, I thought. I don't know if you had any comment on that stuff since it came out over the last month or so?
Michael Rapino: Yes. It would surprise us, too, that right now where we are. But (inaudible) has been on this mission for quite a while, so we would love to sit with his team and educate him on the business so we can get all of the idiosyncrasies nailed because it's never as simple as it seems. So I really -- we look at that as a bit of a nuance.  They seem to be obviously, scalpers are doing a good job of convincing his staff that we are going to do a digital ticket in a closed platform. So that's their great fear that we're going to have a digital ticket, and we're going to tell you when you buy that ticket, you can only resell it at Ticketmaster. That's never been our intent. So their -- kind of their main claim (inaudible) if they would sit down with us, we'd explain it's never been our intent to have a closed platform. We've actually -- the biggest thing I've done at Ticketmaster since taken over is rebuild this Company so we can have an open platform. Our goal is to sell that first ticket. But as we did with the NFL last year, we have an open platform with the NFL. We power the NFL. And if those secondary companies are approved by the NFL, then that ticket you buy for the NFL can be freely sold on any other platform and used to get in the show. So that's -- we think it's the best model. We think we have the largest kind of footprint from a primary platform. We believe that if the ticket is to be resold, we have a great marketplace for that, for the Ticketmaster fan. But we're also working and have been working towards an open platform that it can be sold in other places if the content like the NFL or venues want that path forward. So not sure there's much meat to the claim. We're not looking to limit distribution. We're looking to increase distribution for the teams, venues and artists. And the best platforms will win in the end that offer the best value to the content and the fan. So that's our plan. We think we have an incredible opportunity in ticketing in that. The amount of people that buy at Ticketmaster and actually resell their ticket is very, very low, so we think we have a natural huge audience that we should do a better job of allowing you, the fan, if you just bought to think about how you can resell on our platform, and maybe there's better incentives we can do for you as a fan to make that even more seamless. But if you want to sell on other platforms as we do on the NFL, then we'll be happy to validate that ticket and let the content decide where it's sold.
Ben Swinburne: That's very helpful. Second, just on Veeps, I think you guys announced 60 venues have been equipped with their technology. Just any updated thoughts on how substantial that opportunity is as you guys look into reopening later this year and into next year from a business point of view -- a business model point of view?
Michael Rapino: Well, I think it's, you know, no different than we just talked about NFTs, right? Our job is to keep looking at our core business and making sure we can add more exciting products around that core business. We're just thrilled with the acquisition partnership with the Madden Brothers, who run this on a daily basis. It's their -- soul and sweat they put in, it's really all them. We've just added a bit of a firehose by helping them with our distribution. I think they're up to over 1,000 shows in the last year, probably grow somewhere over 10 million, so a good start to that business. But now you're going to see with our new clubs, we do 10,000 club shows. So you start digging into that a little bit, adding some amphitheaters, and the part we think is really exciting is our festivals. Opening up that model that in Lollapalooza instead of just rebroadcasting that for free. What if for $49, you could watch the Lollapalooza weekend, or you could buy the Lollapalooza day at home and continue your party at home if you couldn't make it to the venue. So we've seen great success in our EDM business. (inaudible) blown the numbers up on his business when he does that. So we think extending the festival, which is a bit of a party at home model, it's got a great opportunity. And I would much rather use my festivals to add another revenue ticket to the equation than treat it as promotion value. So we're going to test that this summer, and we think we'll get some learning, and that'll help us move forward in that place. If you just launch festival TV, you have a proposition itself there with our 150-plus festivals. So we think that's exciting plus our club business for young artists. So new space for us. We think it's an exciting place to add value. We think there is subscription ideas forward with that and we think we can bundle it with other things. We think there is a great foundation to our core business here that we can keep exploring and innovating on.
Ben Swinburne: Great. Thank you.
Operator: Your next question comes from the line of Stephen Glagola with Cowen and Company. Please proceed with your question.
Stephen Glagola: Hi. Thanks for the question. The July through November period for the festivals in the US and the UK appears pretty crowded. Outside the major festivals that you guys highlighted on the press release, is there -- is that having any -- is there any impact adversely on consumer demand in some of those other festivals given the crowded slate? And then also with the 2021 Rock in Rio rescheduled for 2022, does that mean you will have that festival two years in a row now '23 also?
Michael Rapino: Well, I'll answer it backward. We'll -- we're debating the Rock in Rio decision, so we'll get to that -- Rock in Rio decision, we'll get to that later after we get '22 done. No, we don't have any fear of a crowded slate. I think as you saw maybe some of our releases, we just went up with Travis Scott yesterday or the day before and sold 100,000 tickets or Club (inaudible) went up because long -- it's biggest on sale ever. And Rolling Loud just was amazing. We sold 100,000 tickets in about an hour and had 200,000 people in the waiting line. So we're just seeing demand beyond any other historic moment. So Garth Brooks, this morning, I'm so proud, he broke every Ticketmaster record in history for the fastest stadium sale out. So I'm thrilled for the crowd, but I'm more thrilled that our ongoing investment in Ticketmaster and the amount of strain that causes to be the fastest-selling stadium in history or do 100,000 tickets in an hour is a testament to the Ticketmaster platform because the demand, the bots,  the load that hits you in that hour is amazing. So I'm proud that the Ticketmaster team is delivering, but also the demand right now is far exceeding any of our scheduling festivals right now.
Stephen Glagola: Thanks, Michael. And one more, if I can. Just you spoke about the NFT impact and blockchain impact on your Ticketmaster operations. From the standpoint of artists potentially making more money, monetizing their back catalog or whatnot, does that make them become less reliant on touring as an earnings driver going forward in your view?
Michael Rapino: Not sure if that was a statement or a question. But no, I would say that I think you've got to look at the macro pie always, right? There is always going to be a few artists that are able to sell their business at the top end. But if you look at the macro numbers, the percentage that comes from the road, the amount of artists that are dying to get back on the road, we're seeing right now a greater demand than ever from artists calling us saying, when could we get back out? And these are some very successful and wealthy artists. So we always look at that two hours on stage at a stadium is a drug that, that artist tends to want to run for his entire career. So we don't see any decline in that desire for that artist to get on stage. I think the reason you see Mick Jagger and The Stones on stage isn't financial at this point. I think it delivers something much bigger than a paycheck. So I think that magic moment on stage is non-duplicatable for the fan and something that artist doesn't get at home.
Stephen Glagola: Yes. Looking forward to going back to shows in the second half. Thanks, Michael.
Michael Rapino: Thank you.
Operator: Your next question comes from the line of David Katz with Jefferies. Please proceed with your question.
David Katz: Hi. Good evening, and thanks for taking my questions. There's been an awful lot of discussion about the near-term demand. I wonder what data points or information or perspectives you might have about demand beyond, say, the next 12 or 18 months, and how you think about sort of the demand curve longer term?
Michael Rapino: Yes. (Multiple Speakers) I guess if you're going to model that out, you'd probably -- you'd be thrilled that your first data point is the biggest demand in history. So I think however you model that out for the next, you know, I don't think you're going to see any cliff on that demand. I don't think these consumers are saying, I can't wait to get through '22, and then it's over. So I think this is showing. I mean, look, we always look at the -- I think the most important demand curve is the 17, 16 and 14 year-old of today excited about going to the show as the last kind of generation, right. We always get that question on who is the next Rolling Stones. And our data will continually show that, that young artist is capable of selling out stadiums and arenas very fast. I mean, Bad Bunny just went on sale and sold out arenas very fast, huge Latino star. So we're just seeing pockets of strengths coming from young artists every day. Billie Eilish is selling out instantly. So we see young artists regenerating the supply side. We see new 14-year olds going crazy for BTS all around the globe. That's a part to me is what I look at is, is it still as important to a 14 year old to see from the Beatles to go to NSYNC to Backstreet to Britney Spears to BTSs of today, right? So they seem to be -- my 10 year old is excited about concerts as I was when I was 10 or even more, I guess, so where he is based. But we see a great young vibrant supply demand in the business, to me, that's what you want to model in. And over time, it's still as important to a 15 year old of today and a 20 year old of today as it was 10 and 20 years ago.
David Katz: Thank you. Sorry. Go ahead.
Joe Berchtold: And David, just one other thing to add. I wouldn't just use what are the on sales of the past month as part of your indicator. This is a supply-constrained business with a lot of latent demand out there. And if you look at the past decade, and you look at how Live Nation went from 40 million fans a year to 100 million fans a year, it was by bringing more artists to more markets to more people, and unlock that latent demand because of the desire that Michael talked about. So there is a long track record that would say, concern about is the demand going to be there when you've got these great artists out on the road.
David Katz: Agreed. And if I may follow up quickly. With respect to M&A, how are you thinking about sort of the timing and the boundaries and the catalysts for maybe getting out and putting some deals back on the board to grow that way?
Joe Berchtold: Yes. We -- go ahead.
Michael Rapino: Yes. No, I was just saying, I think we're -- we've been looking at our current pipe. We have a good pipe that was already in process when COVID started. We probably have 15 to 20 different venues around the world that are in some level of construction or development or opening, those are on plan, and we'll be opening up from theaters to amphitheaters. We've got an ongoing list of promoters and festivals around the world that we've been in conversations with. We've been closed a couple of those recently, and we'll keep doing that. So we will continue on our bolt-on strategy as we have been for many years to keep bolstering our global foundation and opportunity markets.
Joe Berchtold: We're a growth business, and whether it's growth CapEx or M&A, we're going to be continuing to invest in the business. We're obviously, at a higher leverage level, but we are confident that as we continue to grow our AOI and that returns in 2022 and beyond, that we'll have plenty of flexibility to continue to drive that growth.
David Katz: I appreciate it. Thank you very much.
Operator: Your next question comes from the line of Ryan Sundby with William Blair. Please proceed with your question.
Jessye McVane: Hi. It's actually, Jessye McVane on for Ryan. Thanks for taking our question. Last call, you guys talked about ticket sales in the UK benefiting once guidelines and timelines for reopenings. But put in place, when we see states like New York announced this week that they will start to remove capacity restrictions later this month, or other states like Texas have already acted on. Are you seeing a similar step-change in demand here in the US? Or does it need to be done at a national level to have a similar effect?
Joe Berchtold: We're absolutely seeing massive demand. I mean today is a great example, we added the first half dozen shows -- broadway shows have their presales wildly outperformed all expectations. So just whatever it was two or three days ago, they relaxed in New York on sales today, going great. Governors Ball, as Michael referred to, went on sale, far and away, the best first day for Governors Ball. So as every market is getting unlocked, that's telling the fans to be comfortable going out and buying the tickets, and it's consistent as we go market-to-market.
Jessye McVane: Great. Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And this does conclude today's conference. You may disconnect your lines at this time. Thank you all for your participation.